Operator: Good morning. My name is Amanda, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Victoria's Secret & Co.'s Second Quarter 2025 Earnings Conference Call. Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to turn the call over to Mr. Kevin Wynk, Head of Investor Relations at Victoria's Secret & Co. Kevin, you may begin.
Kevin Wynk: Thanks, Amanda. Good morning, and welcome to Victoria's Secret & Co.'s second quarter earnings conference call for the period ended August 2, 2025. As a matter of formality, I would like to remind you that any forward-looking statements we may make today are subject to our safe harbor statements found in our SEC filings and in our press releases. Joining me on the call today is Chief Executive Officer, Hillary Super, and Chief Financial and Operating Officer, Scott Sekella. We are available today for approximately 30 minutes to answer any questions. Certain results we discuss on the call today are adjusted results and exclude the impact of certain items described in our press release and our SEC filings. Reconciliations of these and other non-GAAP measures to the most comparable GAAP measures are included in our press release, our SEC filings and the investor presentation posted on the Investors section of our website. Thanks. And now I'll turn the call over to Hillary.
Hillary Super: Thanks, Kevin. Good morning, everyone. Thank you for joining us today. I'm excited to share that we continued our momentum in the second quarter, once again delivering results that beat our top and bottom line guidance. This growth reflects disciplined execution, the power of the evolving Victoria's Secret and PINK brands and the early impact of our Path to Potential strategy. Before we walk through the detailed results for the quarter, I want to take a moment to reflect on our progress during the past year since I joined. We have taken meaningful steps to reposition the business for sustained growth, led by our Path to Potential strategy. Our refreshed leadership team is in place, including a new Chief Marketing and Customer Officer and a new Brand President model. We are executing with greater discipline and focus, moving faster with shorter production cycles and bringing more innovation to market. Q1 demonstrated early progress, and today, we will discuss how this progress is continuing to unfold. I'm particularly encouraged to see how our efforts are starting to translate into higher-quality product, a more engaging store experience, increased traffic and more regular price selling. This would not be possible without the dedication and passion of our global team working in our stores, distribution centers, offices and partner organizations. Together, we are operating with more energy, collaboration and focus on delivering for our customers. While we have a lot more work to do, I'm now more confident than ever in the opportunity for this company and our ability to execute our strategy to grow shareholder value. We're still in the early days, but the direction is clear, the energy is real and the progress is promising. Now let's walk through the highlights from the second quarter. We grew net sales 3% despite the digital outage in May and grew comp sales 4%, both sequential improvements over the prior quarter and above our expectations. We delivered comp growth in both Victoria's Secret and PINK across our digital and in-store channels in all geographies. In Q2, we relied less on our semiannual sale than prior years as we had less inventory to mark down and a more compelling regular priced offering. This drove lower discounts and higher AURs compared to last year. Going forward, we see an opportunity to further optimize unit inventory levels and continue to drive higher AURs. International remains a standout and helped drive the quarter's growth. Q2 net sales grew 22% year-over-year while retail comps were up high single digits, reflecting the strength of our global partnership and growing brand relevance. A good example of how the team is delivering with sharper execution and more high emotion storytelling is last month's launch of our Body by Victoria collection's new FlexFactor bra, which connected deeply with women and how they view wearing bras. The launch was a success, and we saw double-digit new customer growth at Victoria's Secret in the last week of the month when the campaign began. Momentum in the second quarter grew steadily as the quarter progressed, culminating in July, which was our strongest month of the quarter in terms of sales and new customer growth. We're pleased to share that this momentum continues into August. Importantly, growth in the second quarter was accompanied by improving gross margins, which were up year-over-year, even with the headwind from the evolving tariffs. We delivered gross margins of 35.6% for the quarter, 20 basis points above last year and 60 basis points above our guidance. This reflects our evolving approach to promotions and more thoughtful discounting cadence, which together drove increased regular priced selling. Adjusted operating income of $55 million exceeded the high end of our second quarter guidance by $20 million. During the quarter, store traffic significantly outpaced overall mall traffic, providing an additional lift to our performance that has continued into August. This strong foot traffic was driven by a combination of innovative products, as well as improved marketing and enhanced visual merchandising. In the quarter, we made continued progress against the 4 pillars of our Path to Potential strategy: supercharging our bra authority, recommitting to PINK, fueling growth in Beauty and evolving our brand projection and go-to-market strategy. First and foremost, we are supercharging our bra authority by focusing on reinforcing and building upon our leadership in bras. We're leaning on our unparalleled bra experience to drive innovation-first product development, ensuring we lead the industry in fit, function and fashion. We are also expanding our bra assortment to serve a wider range of customer needs. Our efforts are beginning to deliver results. During the quarter, while North America bra sales were down low single digits, Q2 showed sequential improvement over Q1. And in Q2, according to third-party data, we grew market share by approximately 0.5 point in total bras, including almost 1 full point of share in traditional bras. Importantly, bras also saw growth in regular priced selling. While we're encouraged by this progress, we still see meaningful upside as we continue to innovate and refresh the assortment with a focus on comfort. We're excited about upcoming product launches in bras. In September, we're debuting the world's best sports bras featuring the starting 5 as well as the Dream sheer Wicked Bra, a sexy unlined Balconette bra that we anticipate will be a top performer. We saw a strong response to our Body by Victoria's launch on July 23. This is the first time in years that a bra launch has driven growth in other bra franchises, driving growth in bras overall. This was a breakthrough and a testament to our ability to meet customer needs across core performance and lifestyle categories, driving deeper connections and sustained growth. We're also seeing very strong results in the broader intimates category, notably, for the 18- to 44-year-old segment, a key demographic for us. VS&Co gained market share in Q2 in intimates across the total industry and across the specialty market compared to last year with total intimate dollar share growth coming from total bras sales. Our next pillar is recommitting to PINK and winning the next generation of consumers. While PINK has long been a brand with deep emotional connections to young women, we recognize it lost some of its spark. The assortment shifted to intimates and its offerings saw too much overlap with Victoria's Secret. PINK strayed from its roots as a lifestyle brand grounded in apparel designed to meet the needs of customers aged 18 to 24. We believe PINK is more than just a product line, and we're committed to putting it back into focus with a digital- and social-first approach designed to meet the next generation where they are. From product design to brand storytelling, we're redefining how PINK shows up and we're excited about the momentum already starting to build. Today, we are focused on reestablishing the brand's magic and market position. We will deepen our relationship with the PINK customer, understanding her like never before and meeting her where she is in the way she wants. We're feeling the buzz build, and nowhere is it clearer than in our new LoveShackFancy collaboration launched this quarter. Earlier this month, we dropped the limited edition PINK x LoveShackFancy collection, a joyful collision of pastel romance and playful edge. Our customers didn't just shop it, they lit up our social channels, shared their looks and turned it into a full-on moment. Engagement soared and energy is still going strong. This was a record-breaking collaboration for both PINK and LoveShackFancy. Our best-sellers were PINK icons, including logo styles, our signature dog and our top-performing item, the $200 Letterman jacket. Strong traffic and exceptionally large basket sizes drove outsized results, all achieved with 0 discounting. These factors underscore the brand's pricing power, product desirability and the effectiveness of our assortment strategy. This collaboration came about as an idea at last year's fashion show and was executed on our new 26-week production lead time calendar. This speaks to our team's disciplined approach in a dynamic environment and our ability to make agile business decisions when we see an opportunity. Our momentum was also evident by the strong response to our PINK Friday event, which launched at the end of the second quarter. The in-store activation drove a significant increase in new customers the week it ran. Since most of the digital activation associated with the event falls in Q3, the second quarter results only reflect a partial benefit from the event. PINK was up low single digits in the second quarter, a clear improvement from Q1. Growth was led by double-digit increases in apparel with margin expansion driven by regular priced sales. We also saw a healthier quality of sales with regular priced sales up 5% in the PINK brand, including up 18% specifically in apparel reflecting our focus on rebalancing our assortment. We are pleased to see significant improvement in new customer acquisition at PINK with double-digit improvement in new customer accounts during the quarter, showing that our efforts are resonating with customers. Turning to the next pillar of our strategy, fueling growth in Beauty. We have a powerhouse Beauty business, representing approximately $1 billion of sales domestically and approaching $2 billion at retail globally. Our customers love Victoria's Secret Beauty, and we are accelerating beauty categories by leaning into our product authority, building on our industry-leading fragrance business, expanding into new opportunities and helping drive traffic into our 2 brands. In the second quarter, Beauty remained a standout as we delivered our eighth consecutive quarter of growth. Sales in our Beauty business were up mid-single digits with growth across all major categories led by body care, seasonal fragrance and our Mist Collection, which delivered low teens growth. We see a significant opportunity in Beauty, which is a much larger market than intimates, about 4x the size of the intimates market in the U.S. according to third-party data and offers a clear runway for growth. We already have gained real traction, and with a newly hired Brand President in place along with expanded marketing resources, we are poised to continue to build on our momentum. Looking ahead, we have a strong pipeline of newness and franchise amplification. This includes our Very Sexy restage that set this week, Bare franchise expansion, the Bombshell seasonal launch and category expansion through the launch of home fragrance. We're also focused on sustaining growth in Mist and Body. On to our final pillar. We're evolving our brand projection and go-to-market strategy to reflect shifts in culture, technology and shopping behaviors. By staying true to our brand DNA while adapting to how we engage, inspire and serve, we are deepening connections with existing customers and attracting new ones while strengthening loyalty and driving long-term growth. We are starting to see positive momentum in rebalancing our marketing funnel and driving incremental traffic across both our digital and store channels. During the quarter, according to third-party data, one of the strongest customer growth segment at VS&Co was the 18 to 24 age group. And these efforts drove improved customer acquisition and growth in our customer file, which positions us well as we move into the back half of the year. We saw sequential improvement during the quarter and in July, growing our total customer file, which was up 5% with growth across new, existing and reactivated customers. Going forward, we are laser-focused on continuing to grow our customer file with a focus on new customers between 18 to 44. It's clear that our new Chief Marketing and Customer Officer, Elizabeth Preis, is leading a compelling shift in how we show up: more purposeful, more provocative and more aligned with who our customer is today. This is just the beginning, and there's much more to come. I'd now like to take a moment to give more details on key initiatives for the second half of the year and share why we are excited. There is real momentum in our business. We are focused on executing and delivering results in our core businesses. We continue to navigate a complex macro environment and we are taking several steps to mitigate tariff impacts by operating more efficiently, which Scott will address later, while continuing to invest in our brands, our products and the customer experience. Fundamentally, we believe that the investments we're making in brand-building and innovative marketing are even more impactful during uncertain times. In a business driven by emotion, our ability to spark connection with our customers enables our brands to stand out and remain a top choice. We remain focused on growth in intimates with bras as the center of our universe. We are committed to leading in both everyday comfort and bold feminine style, ensuring we can meet her wide range of needs for her multifaceted life. Our July Body by Victoria launch was a step forward and we'll continue to bring newness, comfort and innovation in wireless, sports and core bras while also leaning into the sexier side of our assortment with collections like Very Sexy and the upcoming Wicked refresh. We're excited about the return of the Victoria's Secret Fashion Show on October 15. The event will build on last year's success, serve as a key brand moment that both honors our heritage and solidifies our position as a brand that shapes, not just follows, the future of fashion. Looking ahead to the holiday season, we're committed to being the destination for gifting. Last year, we saw how much our customers value accessible luxury that feels personal and truly special. Over the past year, our teams have poured their creativity and passion into expanding our covetable gifting assortment, offering a thoughtfully tiered, good/better/best selection across key categories including Beauty, sleep and PINK apparel. This holiday, we're ready to help our customers celebrate the moments and people that matter the most. Beyond holiday, we see Valentine's Day as another significant growth opportunity and a key moment to deepen our customer engagement. We look forward to sharing more about our Valentine's Day plans in the months to come. Before concluding, I want to take a moment to reflect on what this business and the Victoria's Secret brand have the potential to represent to our consumer. At its core, we're in the business of feelings, of sparking connection and confidence. Our opportunity goes far beyond product. It's about helping our customers feel seen, celebrated and comfortable in their own skin. We believe deeply in this promise, and we're committed to doing it better moving forward. That promise, celebrating how our customer feels, is central to how we're evolving the brand. We know there's no single definition of sexy. Beauty standards are different for every person and so does what makes her heart race. Sexy isn't a singular look, it's a feeling. You know it when you feel it, you respond to it. Our future brand expression will honor that. It won't be confined to one image or ideal. It will be a creative platform that embraces the many ways women embody confidence, sensuality and strength. You're already seeing the first expression of this with our recently launched Very Sexy campaign. The message is clear: we continue to embrace sexiness, but we're evolving to serve our customers more holistically and provide the full spectrum of what she wants and needs from us. And we are seeing this show up with an acceleration in Victoria's Secret sales trends through this week. You'll see our vision further take shape as we continue a steady drumbeat of brand moments in the coming months, including our fashion show this fall and then more significantly in our spring line. We are firmly in growth mode. We achieved growth last year, and we are continuing to improve our performance this year. When product, brand emotion and marketing come together, it creates a powerful cycle that deepens customer engagement and drives strong, sustained results. While we have more work to do, we're building momentum and we intend to keep going. I'll now turn it over to Scott.
Scott Sekella: Thanks, Hillary, and thank you, everyone, for joining today's call. Our second quarter results exceeded expectations, building on our strong first quarter beat. The business showed broad-based strength that built steadily throughout the quarter, demonstrating that our early progress against our Path to Potential strategy is translating into results. This outperformance reflects strength in our core business and the team's focus on the fundamentals while continuing to prioritize investments in product innovation, brand strength and customer experience. These investments are positioning us for long-term differentiation and growth. I'll start with a few highlights from the quarter. As Hillary mentioned, net sales were up $42 million or 3% year-over-year while comps grew 4%, which excludes the digital outage, both reflecting sequential improvements over the prior quarter and significantly above our expectations with growth across both Victoria's Secret and PINK. Our total net sales performance was noteworthy, given the security incident in May, which negatively impacted net sales during the quarter by approximately $20 million. Adjusted gross margin dollars were up $18 million compared to last year, while our adjusted gross margin rate was up 20 basis points versus last year and was 60 basis points better than our guidance. We delivered adjusted operating income of $55 million, exceeding the high end of our guidance by $20 million. Adjusted operating income would have exceeded last year's second quarter result of $62 million absent the impact of the security incident that occurred in May, which we estimate resulted in an operating income impact of approximately $14 million in the quarter. And our adjusted net income per diluted share came in at $0.33, significantly above the high end of our guidance. Now let's turn to second quarter results in more detail. Net sales of $1.459 billion were up 3% versus last year. Performance accelerated through the quarter, and we are encouraged that this momentum has continued so far in the third quarter. Both PINK and VS saw sales up low single digits during the quarter compared to last year with growth in North America and across the globe while we were also pleased with our performance and intimates where we saw major trend improvements from Q1 to Q2 across both panties and bras. Contributing to this improvement was strong regular priced selling, and as Hillary mentioned, an example of this was our successful Body by Victoria launch on July 23, which along with a new marketing approach around the event, drove notable increases in customer engagement and acquisition. Beauty again delivered strong top line growth with sales up mid-single digits year-over-year. This marks our Beauty business' eighth consecutive quarter of growth. As Hillary also noted, VS and PINK had broad-based strength in North America where we grew comp sales in both stores and digital channels. Performance in the region improved sequentially throughout the quarter with July delivering exceptional results in part driven by the Body by Victoria bra launch and associated marketing activities. This was the first time in years that a bra launch has driven growth in other bra franchises. Traffic during the quarter significantly outpaced the broader mall, reflecting both our enhanced product offerings and expanded marketing region effectiveness. Our international business continued to perform exceptionally well during the quarter. Reported second quarter sales grew 22% to $228 million, reflecting an improvement over a strong first quarter. System-wide retail sales were up low double digits again in the second quarter. International growth was fueled by healthy high single-digit retail comparable sales gains across our store and digital channels on a combined basis as well as continued new store openings. We again saw particular strength in our China business, primarily driven by the digital channel. AURs were up 1% in the quarter. When you exclude panties, which is a low AUR category, AURs were up 8%, driven by increases in bras and Beauty. Second quarter adjusted gross margin dollars were $519 million our adjusted gross margin rate was 35.6%, 20 basis points above last year and 60 basis points above our guidance. Favorable gross margin rate drivers in the quarter versus last year included a continued pullback in traditional promotions, resulting in lower discounting throughout the quarter, coupled with strong regular priced selling both during the semiannual sale and the weeks outside of the event. Our healthier inventory position during the semiannual sale period along with a stronger regular priced product offering enabled margin expansion this year. We continue to use GWPs in the quarter, which, while slightly impacting margin rate, drove higher basket size and acted as a brand-building marketing vehicle. Importantly, overall, our promotional strategy in the quarter drove margin rate and margin dollar expansion compared to last year. Our focus on driving stronger regular priced selling continues to gain traction. We also achieved leverage on buying and occupancy expenses in the quarter, driven by rent savings and our robust comp growth. Meanwhile, as expected, higher air freight rates and tariffs resulted in approximately 80 basis points of pressure in total in the quarter versus last year evenly split between the two. Adjusted SG&A dollars were $464 million in the second quarter and our adjusted SG&A rate was 31.8%, better than our guidance of approximately 33% in deleveraging versus the prior year rate of 31%. Our better-than-expected adjusted SG&A rate in the quarter was driven by the sales beat along with continued disciplined expense management across all aspects of the business. Our rate deleveraged from last year as a result of a strategic shift in marketing spend from Q1 into Q2 along with higher incentive compensation expense in the quarter tied to our outperformance. Adjusted nonoperating expenses, consisting principally of interest expense, were $17 million in the quarter in line with our guidance and down from last year, driven by a lower level of weighted average borrowings and interest rates. Our second quarter adjusted tax rate was 25%. Turning to the balance sheet. Total inventories ended the second quarter up 4% compared to last year and in line with our guidance. From a liquidity standpoint, we ended the second quarter with a cash balance of $188 million which is $19 million above last year. And our outstanding balance under our $750 million ABL credit facility was $75 million, which is down $70 million from last year. We successfully renewed our ABL credit facility in May and secured a 5-year term extension with favorable enhancements and lower interest rates that will generate annual savings. Our liquidity position is strong and provides us financial flexibility for continued execution of our strategic growth pillars. Turning to our updated outlook for fiscal year 2025 and our outlook for the third quarter. We are raising our full year outlook for net sales and are now forecasting net sales in the range of $6.33 billion to $6.41 billion, compared to our prior guidance calling for net sales in the range of $6.2 billion to $6.3 billion. While we faced tough year-over-year sales comparisons in the back half of the year, we are pleased with the momentum we saw in Q2 with notable acceleration in July. We expect to drive performance through elevated product assortments and planned initiatives designed to sustain momentum between major traffic-driving events. We are winning with big moments like PINK Friday, which performed exceptionally well this year. As Hillary mentioned, the fashion show this fall represents a defining brand moment, both commercially and culturally. Last year, the event helped drive incremental traffic, customer acquisition and sustained sales momentum into January. This year, we are building on those learnings to further amplify its impact while continuing with the steady cadence of brand moments through the holiday and Valentine's Day season to engage both new and returning customers. In addition to our brand moments, we are well positioned to capture demand in holiday periods such as Black Friday and Cyber Monday with an expanded and more tiered gifting assortment across key categories like Beauty, sleep and PINK. Given the outperformance during the second quarter was offset by incremental tariff exposure, we are maintaining our adjusted operating income range for fiscal year 2025 of $270 million to $320 million. Our full year 2025 guidance now reflects tariff levels of 30% for China and 20% for non-China imports as compared to our previous guidance, which assumed 30% for China and 10% for non-China. Our guidance for the full year 2025 now assumes net tariff impact of approximately $100 million, which reflects tariff mitigation of approximately $70 million. Our projected net tariff impact of $100 million in 2025 is up $50 million versus our assumption embedded in our previous guidance. With approximately $10 million of net tariff impact already recognized in the first half of the year, our guidance assumes approximately $20 million of net tariff pressure in the third quarter with $70 million impact in Q4. Importantly, given the strength and momentum we are seeing in the business, we are maintaining our adjusted operating income guidance for the year despite estimated incremental net tariff pressure of $50 million. Our impact and mitigation efforts include optimizing costs with vendors, further diversifying our sourcing, ensuring we have the most efficient air-versus-ocean freight mix possible and implementing a combination of select pricing adjustments through more targeted promotions and strategic price modifications where we see a value proposition gap in the marketplace. Adjusted nonoperating expenses, consisting principally of interest expense, are projected to be about $70 million for fiscal year 2025, down from $84 million in fiscal year 2024 and in line with previous guidance, driven by expected lower levels of weighted average borrowings, along with lower interest rates. We estimate our adjusted tax rate will be approximately 24% to 25% for fiscal year 2025, in line with guidance last quarter. We estimate weighted average diluted shares outstanding of approximately 83 million for fiscal year 2025. Given these inputs, we are maintaining our fiscal year 2025 adjusted net income per diluted share to be in the range of $1.80 to $2.20 compared to adjusted net income per diluted share of $2.69 in fiscal year 2024. We continue to be prudent with planning capital expenditures, which are now expected to be approximately $200 million in fiscal year 2025, down from our previous expectation of $220 million. Capital investments will primarily focus on our store capital program, along with investments in technology and logistics related to our strategic initiatives to drive growth and support productivity. Depreciation expense is estimated to be approximately $220 million this year. We are maintaining our forecast of adjusted free cash flow of approximately $150 million to $200 million in fiscal year 2025. Store counts and renovation plans in North America in 2025 continue to be similar to what we discussed on our first quarter call. Square footage in our North American stores this year is still expected to decrease approximately 2% compared to 2024. By the end of the year, we estimate our Store of the Future presence in North America will be approximately 190 stores or approximately 25% of the fleet. Internationally, we estimate our Store of the Future presence at the end of 2025 will be approximately 240 to 260 stores or approximately 40% of the international fleet. Turning to our outlook for the third quarter. We are forecasting net sales in the range of $1.39 billion to $1.42 billion compared to net sales of $1.347 billion in the third quarter of 2024. Our forecast assumes low single-digit top line performance in our North American business based on the continued momentum we're seeing quarter-to-date. Our forecast also assumes continued strength in the international business with system-wide retail sales planned up low teens in the third quarter. At this forecasted level of sales, we expect third quarter 2025 adjusted operating loss to be in the range of $35 million to $55 million compared to an adjusted operating loss $28 million in the third quarter of 2024. We expect third quarter 2025 adjusted gross margin rate of approximately 34%, down compared to an adjusted rate of 34.8% last year, which includes estimated net tariff pressure of approximately 140 basis points, partially offset by continued focus on our promotional strategy in buying and occupancy expense leverage on the sales growth. The adjusted SG&A rate in the third quarter of 2025 is expected to be flat to up approximately 100 basis points compared to the third quarter 2024's adjusted rate of 36.8%. The forecasted increase in SG&A dollars is driven by normal wage rate increases along with strategic investments in marketing and store labor to enhance the customer experience and to drive top line growth. We anticipate net adjusted nonoperating expense, again consisting principally of interest expense, of approximately $19 million in the third quarter 2025, down from $21 million in the third quarter of 2024 driven by expected lower levels of weighted average borrowings along with lower interest rates. We estimate our adjusted tax rate will be approximately 22% for the third quarter. We estimate weighted average shares outstanding of approximately 80 million for the third quarter. We expect total inventories to be up high single digits compared to last year, driven by the impact of tariffs. Given these inputs, we are forecasting third quarter adjusted net loss per share to be in the range of $0.55 to $0.75 compared to adjusted net loss per share of $0.50 in the third quarter of 2024. In closing, I want to reiterate a few key points. Despite the uncertain macro environment, our fundamentals remained strong and resilient and our Path to Potential strategy is gaining momentum. We are maintaining our disciplined approach, focusing on operational excellence, strategic capital allocation and continued investment in the capabilities that differentiate us in the marketplace. We remain committed to delivering value for our shareholders while building the foundation for sustained long-term profitable growth. Operator?
Operator: [Operator Instructions] For our first question, we will go to the line of Alex Straton from Morgan Stanley.
Lauren B. Levine: This is Lauren Levine on for Alex Straton. We were wondering how you were thinking about the implication of the end of the de minimis exemption on the industry. Do you think that's a tailwind? Or do you rely on that benefit at all?
Scott Sekella: Lauren, it's Scott. The de minimis exemption isn't a big part of how we go to market. Largely our e-com distribution centers are located in Columbus. So it's not really a material impact on the business.
Operator: Our next question comes from Marni Shapiro with Retail Tracker.
Marni Shapiro:
The Retail Tracker: Congratulations. I got to just say the stores have been so much fun to shop every week because the energy is unbelievable. And it feels like we finally, Hillary, have somebody in place who understand the importance of this brand globally. I feel like it's been undervalued. So with that, I have a question about your innovation. There's been so much from the Flex bra, that shiny active set, LoveShack, some of it is fashion innovation, some of it's like technical innovation. How should we think about this over the back half of the year and into '26 even with tariffs involved? And will you take that kind of thinking into Beauty because it feels to me watching all the girls and other places that there's a lot of opportunity for you guys even innovating within Beauty for you guys.
Hillary Super: Marni, thanks for the support. I'm excited that you're as excited as we are. And I feel like, once again, maybe you're reading my mind or spying on me, but I really agree with everything you say. It is absolutely about fashion innovation and then technical innovation. I'll start with VS. In VS, we have a very deep pipeline of innovation, primarily focused on bras but also in sport as you referenced. It's geared towards customer insights and particularly around the technology of bras, but also, I would say the shine that you're talking about is a great example of fashion innovation. And I think what's different, what we're really unpacking in VS is that we used to have a formula where we sort of set a quarter and let it roll, and we stand behind big ideas for an extended amount of time. And we've started really pacing a more frequent drumbeat of fashion and innovation and messaging and really addressing much more wider variety of her wants and needs, and it is working. And so you'll see a more constant drumbeat from us in both innovation and in fashion as we move through the back half of this year and into next year. And I would just say the shine speaks to -- it speaks to fun, it speaks to joy, it speaks to novelty. And I think as I've stated in previous calls, we got a little serious. And this brand should be joyful and it should be fun and it should be useful. And so you'll start seeing more of that as we move in -- especially as we move into 2026. On the PINK side, it's really more about cultural connection and fashion drops and collaborations and this Wednesday Drop phenomenon that we have in PINK is doing really well, and we want to build on that. But also what we have unlocked not only, first and foremost, with Frankies and our collaboration and partnership with Frankies, but now with LoveShackFancy is that when we hit the right cultural moment, it is explosive for us in this business. So both will have a drumbeat of newness that is more frequent than the past, but serves each individual customer segment appropriately. So we're very excited about what's to come.
Marni Shapiro:
The Retail Tracker: Congrats and best of luck for the rest of back-to-school.
Hillary Super: Thank you.
Operator: Our next question comes from Dana Telsey with the Telsey Group.
Dana Lauren Telsey: Congratulations on the nice progress. Would love to hear a little bit more about on the gross margin side, how are you thinking about pricing and promotions going forward? And then also, when you think about Store of the Future and the technology you've implemented there, what are you seeing traffic- wise? And also, are you seeing an expanded customer, maybe a trade-down customer also ?
Scott Sekella: Dana, it's Scott. On the gross margin front, as we discussed, we've really made a conscious effort to pull back on promos and the traditional discounts. We expect that to continue into the back half. That is one of our mitigation levers on tariffs, but coupled with our product newness that Hillary was just talking about and really driving more regular priced sales. So we're really encouraged with what we're seeing and how the customer is responding to that. In terms of sort of strategic pricing, we're looking where we see opportunities that can still create that value, but we're being mindful of entry price points and sort of not to exceed price points. So first and foremost is promos and then select strategic price modifications where it makes sense. In terms of Store of the Future, I mean, we continue to get good results where we do either a full Store of the Future remodel or partial. We see some of our more recent ones sort of a double-digit lift in sales from pre to post, that's driven by traffic and better assorted within the store. So we're going to continue to drive that as improvement to customer experience as we go forward.
Operator: Our next question comes from Adrienne Yih with Barclays.
Michael Vu: This is Michael Vu on for Adrienne Yih. And I just wanted to ask, so your international business was up nicely during the quarter and it continues to grow. Is there any particular category other than Beauty or maybe a consumer cohort that's outperforming in the international market versus the domestic one?
Hillary Super: I'll take that one. No, not really. I mean, they definitely have smaller square footage stores, generally speaking, internationally. So we don't have the same breadth of assortment in international. But intimates business is very strong there. We have less of a presence in PINK internationally, and we have less of a presence in some markets in things like sport and swim. So it's really the 2 core categories of Beauty as well as intimates both doing very well globally.
Michael Vu: And as a follow-up, is there any difference between the go-to-market strategy in the international market versus the domestic?
Scott Sekella: No, It's Scott, Michael. No real difference. I mean, we're thinking about the customer globally as we look at our marketing and messaging. So it follows very much the same pattern that we drive here in North America.
Operator: Our next question comes from Mauricio Serna with UBS.
Mauricio Serna Vega: I wanted to ask about the fashion show that you're doing this year. Just want to make sure like is this year also mainly focused on the Victoria's Secret brand? Or will there be something that will also include PINK? Because maybe I think I recall that you mentioned that you wanted to do something for PINK, but maybe that's like a completely separate event. And maybe could you provide some details about like the SG&A investments behind the fashion show and how do those compare to last year?
Hillary Super: I'll start and then Scott will finish up on your second question. So we -- as you know, we announced yesterday the date of the fashion show. Beginning next week, we will start to slowly unveil some of the details around talent and content of the fashion show through our social channels, so you have to stay tuned. We're not ready to talk about it quite yet. But rest assured, we will have activations in the back half of the year that talk about all of our businesses in some way, shape or form.
Scott Sekella: And to the second part of the question, we're actively working on how do we amplify the fashion show in a better and even more impactful way than what it was previously. But our marketing dollars for the full year will be basically flat year-over-year. We'll have some movements between quarters, but largely the marketing spend is flat year-over-year.
Operator: Our next question comes from Ike Boruchow with Wells Fargo.
Juliana Duque: This is Juliana on for Ike. I was wondering if you could give us any more detail on the categories, specifically if intimates still remains pressured from panties, and how that's continued throughout the quarter.
Hillary Super: Yes, be happy to. Actually -- so let me just start and talk about what really sort of changed between Q1 and Q2 as a total. So after Q1, I talked about strength in Beauty, strength in PINK apparel and strength in sport. All 3 of those categories continued and actually accelerated into Q2. But the big game changer was the core intimates business in Victoria's Secret, and to a lesser degree, PINK both improved. And panties across the board was very, very strong in both brands. So we're extremely pleased about that. And bras improved. We saw full priced selling positive in the quarter, but because we had less in semiannual sale, we didn't see a total comp -- positive comp in bras for the quarter. But big, big improvement in the core of the intimates business in Q2, which we're very, very excited about.
Scott Sekella: And we saw that for VS&Co, we gained share in the 18 to 44 sort of consumer in Q2 versus Q2 last year.
Operator: Our next question comes from Jonna Kim with TD Cowen.
Unidentified Analyst: This is [ Julia Shelanski ] for Jonna Kim. I was wondering what your plans are for this holiday season and what's different for fashion this year versus last year and key earnings from last year?
Hillary Super: The plans for Q4 and I didn't catch the last -- for fashion. Is that what you said?
Unidentified Analyst: Yes, yes. And fashion and key learnings from last year into this year.
Hillary Super: Okay. Great. So I'm not going to tell you all of our plans for holiday quite yet. But what I can say is that probably the #1 thing that we learned was the importance of this drumbeat of newness and drumbeat of content, creative content. We saw incredible success and momentum last year coming out of the fashion show, and that carried us sort of into middle of the quarter. And then we had a very clear opportunity sort of mid-December through January to really not only deliver newness and excitement to talk about it and market it in a loud way. And so that is the big change that you will see this year is the front half of the quarter will be focused on holiday and fashion show and really building up that incredible gifting destination that we're known for and then we will shift our messaging. And we will -- we have a huge opportunity around both sport and Valentine's Day later in the quarter that we plan to capitalize on. And in PINK, it's just really about those cultural moments and making sure we're tapping into the cultural moments exactly at the time that they're happening and being much more nimble. So we're actually still working on that because we want to stay as close to the customer as possible.
Operator: Our next question comes from Janet Kloppenburg with JJK Research Associates.
Janet Joseph Kloppenburg: I wanted to say congratulations to Hillary that the newness and iteration that you've introduced has been pretty darn compelling. I wanted to ask you, Hillary, about the inventory planning, which has been sort of out of balance for a while. And if you have more conviction that it's going to be where it should be by product and flow as we go forward? And if there's any operational kinks in there that are preventing it from being as solid as it should be. I need to gain confidence in that. And then on pricing, I wondered what kind of pricing power you think you have if you'll use it. And particularly on panties where I think it was being used as a loss leader and to drive traffic, but also to meet competitive headwinds.
Hillary Super: Yes, so let me get at this inventory. I mean, I think we always have opportunity to optimize our inventory. I think what we are learning is that we should be -- we should turn faster, particularly in the PINK apparel side, we need to be in and out of ideas and we need to create that sense of urgency with the consumer, and that's going to help us pull back on the promotions and the markdowns that we're so laser-focused on doing and are starting to have some good success with. So I would say that's step number one. Shortening our production lead times helps us with managing that inventory, and that's something that we have made incredible traction on. LoveShackFancy collaboration we brought to market in 26 weeks. That is a wild improvement from where we were a year ago. I think PINK in particular, we have -- actually in PINK, in particular, but also in VS, we have an opportunity to really scrutinize our size breakdowns and make sure we have enough inventory in the right sizes and that's something that's actively in process. So we're looking at everything. I also think we have an opportunity to look at how we allocate the stores and what assortments got to what stores and really utilize data science to drive more customized assortment. So there's a lot particularly in the stores channel we can do to optimize and that is in progress right now. Pricing power. This is something we've been looking at before tariffs were even a topic. Last Q4, we made some strategic price increases in the area of gifting and Beauty as well sleep. Saw no resistance to that. I think when emotion and the quality and the marketing behind it is there working in a singular ecosystem, we are seeing that she will pay. So we believe that we always need an opening price point and we believe that price ceilings in our business are also something that we need to look at, but there's room to play in between and so we'll be strategically looking at that. As it relates to panties, I think panties are absolutely a traffic driver. They are an acquisition tool. They are a basket starter. And across the industry, everyone is priced in multiples. Now what that multiple price point is, is something we're definitely looking at. And actually, we have one running this weekend that is at a lower -- actually it's at a higher ticket than last year. So we are pulling back where we can, but we're testing into that because we don't want to take our foot off the gas of acquisition. And we don't want to take our foot off the gas of our total basket size. So hopefully, that answers your question.
Janet Joseph Kloppenburg: You did. And I have one last, which is just on the 26-week lead time for LoveShack, which was really well done, is that about as good as it gets, Hillary? I mean, could you get that for 20 weeks? Or is 26 weeks where it's going to be?
Hillary Super: I think it's just a fantastic first step from a company that a year ago was running everything on a bra timing cycle. So to move within a year from 52 to 26 is a big jump forward. And then of course, we're always looking for opportunities. And it depends on the category. I mean there are some things that we should be faster, and we are. Like we can get into panties in 2 or 3 weeks. We can get into some bras that we own raw materials in, in about 8 to 12 weeks. So we do have places where we have flexibility and that's something we'll continue to work on. But to get an entirely new collection that had never been thought of in 26 weeks to market, I think, is an incredible win for this company and a proof point that we can move quickly and with agility.
Janet Joseph Kloppenburg: Okay. And I wasn't being critical. I just wanted to understand what it...
Hillary Super: Oh, I know. Actually I'm glad you asked. Yes, absolutely. And we'll be working to be as fast as possible.
Operator: We have time for one more question, Brooke Roach with Goldman Sachs.
Evan Dorschner: This is Evan Dorschner on for Brooke. I was hoping you could just dive a little bit deeper on the tariff impact you expect for this year? How should we be thinking about that into next year as you also start to action your mitigation strategies?
Scott Sekella: Evan, it's Scott. So as we said, the tariff assumption right now is 30% for China and 20% non-China, which is up from 30% China and 10% on China in our last call. That increase is about a $50 million impact versus our prior guidance. So our net tariff impact in fiscal '25 is $100 million total. There is $70 million of mitigation in that. So you think about the gross impact is really north of $100 million. The mitigation we've got in place is largely locked down for fiscal '25 just given our orders are already bought into and whatnot. But as we go forward into '26, we are attacking and we'll have additional mitigation, particularly on less air, more ocean. That's going to be a big lever that we pull. We are actively looking at resourcing out of different countries to further mitigate in 2026. But as you know, that takes time and so that we need to work through all of that. And we will continue to thoughtfully pull back on promos to help offset this, and then continue our sort of expense management. So mitigation will definitely increase in 2026. It just takes a little bit while for some of these levers to play out.
Kevin Wynk: Okay. Thanks, everyone. That concludes our call this morning. We appreciate your time this morning and your interest in VS&Co. Have a great day.
Operator: Thank you all for participating in the Victoria's Secret & Co.'s Second Quarter 2025 Earnings Conference Call. That concludes today's conference. Please disconnect at this time, and enjoy the rest of your day.